Operator: All participants, please standby, your conference is ready to begin. Good morning and welcome to the Gibson Energy 2014 Third Quarter Results Conference Call in which management will review the financial results of the company for the three and nine months ended September 30, 2014. During today’s call, forward-looking statements may be made. These statements relate to future events or the company’s future performance and will use words such as expect, should, estimate, forecast, believe, or similar terms. Forward-looking statements speak only as of today’s date and undue reliance should not be placed on them as they are subject to risk and uncertainties, which could cause actual results to differ materially from those described in such statements. The company assumes no obligation to update any forward-looking statements made in today’s call. Any reference during today’s call, to non-GAAP financial measures such as EBITDA, adjusted EBITDA, pro forma adjusted EBITDA, or distributable cash flow is a reference to a financial measure, excluding the effect of certain items that could impact comparability. For further information on forward-looking statements on non-GAAP used by Gibson, please refer to the 2014 third quarter Management Discussion and Analysis issued yesterday by the company, and in particular the sections entitled Forward-Looking Statements and Non-GAAP Financial Measures. All financial amounts mentioned in today’s call are in Canadian dollars unless otherwise stated. I would now turn the call over to Tammy Price, Vice President of Investor Relations and Corporate Development. Please go ahead.
Tammy Price: Thank you, Valerie, and thanks everyone for joining us this morning. Joining me on the call today are Stew Hanlon, President and CEO; and Don Fowlis, Chief Financial Officer. The format for the call will be that Stew will provide an overview of our results and Don will highlight some key items regarding our financial position and capital spending. This will be followed by a question-and-answer session. Cam Deller, our Manager, Investor Relations and I will be available after the call to answer analyst’s modeling questions. With that, I’ll turn it over to Stew.
Stew Hanlon: Thanks, Tammy, and good morning, everyone. I am pleased to have this opportunity to update you on our third quarter results, which are highlighted by record third quarter segment profit of CAD120 million. Key contributions to segment profit in the third quarter we had 20% increase in terminals and pipelines, 18% increase in Processing and Wellsite Fluids and a 17% increase in Environmental Services. These year-over-year gains was a result of a combination of strong underlying business conditions of recent successful growth capital spending initiatives. Another significant accomplishment in the quarter was a closing of our acquisition of Cal-Gas on 1 August. This acquisition completed the expansion of our Canwest Propane business as applied in our second quarter announced. And we’re happy to welcome both Cal-Gas and Stittco into the Gibson organization. I will now discuss the individual segment profits in more detail. Segment profits in our terminals and pipelines business was CAD31.1 million in the quarter, this record quarterly achievement represents a 20% increase of the same crude in 2013 and was a result of increased throughput volumes and fixed fee revenue from customers as dedicated long-term tankage. Illustrating strong industry demand and increased operational capacity, our Hardisty Terminal volumes averaged approximately 490,000 barrels per day in the third quarter representing a 27% increase over the same period of 2013. Additional contributions segment profit in the third quarter, we generated from the commencement of shipper commitments with the unit train loading facility at Hardisty. After successful commissioning of Hardisty unit trading facility at the end of the second quarter, we are pleased to report that loading volumes have ramped up according to shippers agreements and that all pipelines and loading infrastructure assets are operating in-line with the design specifications. Moving to the phasing in of shipper commitments in the third quarter, the Hardisty unit trade facility contributed approximately 50% of its full secret pay cash flow profile to the third quarter results. I know that the ramp up stage is now complete and that Phase 1 of this project has very recently reached full run rate EBITDA levels. Average to market pay is two of these project which involves the doubling of loading capacity to 240,000 barrels a day, continue to progress and we look forward to updating the market on our investment decisions at the appropriate time. Other development initiatives underway within our Terminals and Pipelines segment including a fixed tank expansion at Hardisty and a single tank plus rail loading facility at Edmonton are progressing according to plan. Specific to our fixed tank expansion of Hardisty, we commissioned the first two 400,000 barrel tanks on November 1, 2014 consistent with our prior assets. As noted in yesterday’s press release, we revised the design configuration of the Hardisty tank construction project, resulting in 200,000 barrel increase in planned capacity. This design change reflects the strong customer demand for storage optionality in Hardisty and will result in a more efficient use of the available land. Additionally, in order to accommodate current and forecasted operational requirements at the Hardisty terminal, we will be building an incremental 300,000 barrel tank to be located adjacent to the existing construction project. Combined, total new storage capacity under development at the Hardisty terminal has increased by 22% to 2.8 million barrels. Our Environmental Services business also achieved record quarterly profit in the third quarter of 2014, generating $28.5 million representing 17% year-over-year increase. These results were driven by continued demand growth coupled with improved margins for fluid disposal and processing services in both our U.S. and Canadian markets. We are satisfied with the performance of our Environmental Services business as we begin to see positive impact of structural changes we undertook in 2014 to align management strengths as well as the benefits from our investment and processing and disposal capacity additions. In this regard, we have recently commissioned our landfill facilities situated adjacent to our newest processing, recovery and disposal facilities currently under construction in Williston North Dakota. This PRD facility remains on-track for completion by year-end 2014 and we look forward to continuing to build this type of infrastructure in both Canada and the U.S. in 2015 and beyond. Third quarter segment profits from our Processing and Wellsite Fluids business increased 18% in 2013 to CAD14.3 million resulting from lower operating expenses and strong volume and margin contributions from our U.S. crude asset sales. These strong third quarter results were achieved despite a 5% decrease in quarterly throughput that rose from railway offloading congestion. Due to the flexible nature of our Moose Jaw facility, we reduced roofing plus production by 13% to accommodate our 152% in road asphalt volume over the same period in 2013. Similarly, in reaction to reduce Canadian demand for frac fluid, we were able to adjust plant throughput to accommodate a 12% increase in distillate demand that results from an expanded marketing effort for this product in the United States. Our propane and NGL marketing and distribution segment delivered quarterly segment profit of CAD13.2 million roughly it’s even with the same period of 2013. We are pleased from the initial contributions from the recently completed Cal-Gas and Stittco acquisitions and with their impact on third quarter results. Specifically, retail propane volumes in the third quarter of 2014 increased 41%. Expected gross margins as a percentage of revenue increased 2% over the same period of 2013. Offsetting these gains was a 42% increase in segment operating expenses which as expected resulted from the inclusion of the two acquisitions. Recognizing the-degree of fixed costs associated with these particular operations, along with the seasonal nature of propane demand, we are looking forward to the upcoming winter months for robust cash flow contributions from these two acquisitions. Segment profit in truck transportation was CAD20.5 million in the third quarter, representing a 10% decrease versus the same quarter in 2013. We experienced a 15% year-over-year decline in barrels hauled in the third quarter, primarily as a result of reduced activity levels in certain areas of the United States. Despite these conditions, we were able to maintain stable profit margins to increase spot hauling rates and a high degree of discipline over operating expenses. Looking into the fourth quarter, while we are mindful of the current oil price environment and potential impact on the industry activity, we continue to expect performance to be sequentially stronger quarter-over-quarter. Our marketing business delivered CAD12.3 million of segment profit in this quarter. These results essentially flat over our second quarter in 2014 were owing to similar industry conditions characterized by narrow and less volatile oil price differentials to reduce their margin enhancement opportunities. Volatility notwithstanding, marketing activities in the quarter were highlighted by record transaction volumes of over 357,000 barrels per day reflecting continued efforts to provide net back optimization solutions for our customer base and to maximize utilization of assets in our other business segments. Importantly, we continue to increase our marketing activity levels without taking incremental property or commodity prices at exposure. Looking into the fourth quarter, similarly, difficult market conditions do persist and we do not expect to realize segment profits beyond the third quarter performance levels. Now I’d like to touch on Gibson’s capital expenditures. In the third quarter, Gibson spent CAD71 million on growth capital, bringing total spending for the first nine months of 2014 to CAD$252 million. This investment intensity represents external capital development performance for the company that puts us in a good position to deliver on our 2014 growth plans. These expenditures were primarily directed towards the following key initiatives. Firstly, the storage tank expansion project on the east side of the Hardisty terminal. Secondly, additional salt water disposal and landfill facilities and the addition of new and the expansion of existing treating facilities in both Canada and the United States. Thirdly the Edmonton federal tanks and the expansion of related infrastructure and finally the Edmonton terminal storage optimization projects. In summary, the third quarter of 2014 was very successful for the company with strong financial results overall. We have just begun to realize the cash flow growth from our recent organic capital investments namely the unit train facility and the increased processing capacity in the Environmental Services business segment and most recently the first two 400,000 barrel tanks in our Hardisty terminal expansion project. Looking at the amount of development currently underway within our flagship Terminals and Pipelines business and the approaching timelines for commissioning, we’re extremely excited as we work to finalize our capital budget and operational plans for 2015. Now, I’ll pass it over to Don, who will discuss our financial portion. Fowlis?
Don Fowlis: Great, thanks Stew. I’m pleased to report that our financial position remains secure with ample liquidity and low leverage. This puts us in very good shape to fund our current dividend and capital expenditure plans. At the end of the third quarter, we had CAD125 million of cash on hand and CAD461 million available under our revolving credit facility. Our debt to debt plus capital ratio was 41%. Our leverage ratio, total net debt to trailing 12-month pro forma adjusted EBITDA was 2.2 times and our interest coverage ratio was 7.3 times. The company declared dividends of CAD145 million in the 12 months ended September 30, 2014, while distributable cash flow for the same period was CAD265 million. Thus dividends declared represented 55% of the distributable cash flow which is the mid-point of our targeted payout ratio range of 50% to 60%. Our next quarterly dividend of CAD0.30 per common share is scheduled to be paid to on January 16, 2015. Similar to previous years, our board of directors will access the company’s go forward dividend rate, concurrent with the release of our year-end financial results. As Stew mentioned earlier, in the first nine months of 2014, we invested CAD252 million on growth capital projects. We also spent CAD39 million on upgrade and replacement projects and CAD127 million on acquisitions in the first three quarters. We remain on track to achieve our 2014 growth capital spending plans of CAD375 million. Although due to the nature of our multi-year construction projects currently underway, a small portion of the, spend may carry into early 2015. We continue to have good visibility with respect to spending at CAD375 million on growth projects in 2015. Further details on our capital spending expectations for 2015 and a preliminary estimate for 2016 will be announced on December 9. We’re also pleased to note that Gibson will be holding our first Investor Day on December 11 in Toronto, where our senior management team will provide an overview of the company’s strategies and discuss our various business segments integrate to provide an industry solution. We’ll also provide an in-depth look at our growth opportunities and forecasted capital investment plants. That concludes my comments. I’ll turn it back to Stew.
Stew Hanlon: Thanks very much, Don. In closing, 2014 is shaping up to be a record breaking year for Gibson as we begin to see the effect of growth expenditures we’ve completed over the past several quarters. Despite the volatility we have witnessed similar prices over the past month. Midstream industry fundamentals remain positive. Specifically relating to our growth outlook, a large majority of our current and planned capital projects are or will be underpinned by customers that pursue development projects spending multiple years in the future. Furthermore, because our integrated business segments offer diversification efforts and a cash flow profile that is not directly influenced by near-term commodity price movements. We remain confident in our ability to continue to deliver growth and excellent returns to our shareholders. That concludes our prepared comments. Operator, at this time, we’d like to open up the call for questions.
Operator: (Operator Instructions). Our first question is from Rob Hope with Macquarie. Please go ahead.
Rob Hope – Macquarie: Hi, good morning, and congratulations on another good quarter.
Stew Hanlon: Thanks Rob.
Rob Hope – Macquarie: You kind of alluded to it, but I just was hoping you could provide some color on the factors potentially lower activity levels on your environmental services business. I know previously you had given a breakdown between drilling related activities as well as ongoing production rates. I’m just wondering, if you can provide an update there?
Stew Hanlon: Yes, certainly. As you know, as we have been talking since the acquisition of both Environmental and Omni Tech two to create that business line. We have been skewing our investment towards more production related activities. And so, it’s about a year ago we were 60% – 40%, 60% production related activities and perhaps 40% related to more off-stream activities. And that ratio continues to skew towards production. So to accept that we do see continued softness in crude pricing and reducing pull-back in terms of activity levels around drilling and completion, we would expect some modest stops in that environmental services business. Having said that, we haven’t seen either of those things occurring today, and our plans are to try to continue sort of our businesses usually playing out for the next quarter or so.
Rob Hope – Macquarie: All right, that’s very helpful. Maybe just one more question. Just on the expansion at Hardisty, just maybe some additional color there. Are you up-sizing the tanks and are you able to do that without I guess taking any guarantees on any pre-ordered items? And then maybe one more, are these expansions underpinned by new customer commitments or are they just your ongoing operations?
Stew Hanlon: Yes, yes, and partially, present. And the first two questions, yes, we are upsizing the two 300,000 barrels actually previously talked about building, we’re going to make those into 400,000 barrel tanks. And this is really as a result of just looking at the configuration of the land position there. And wanting to make sure that we do efficiently utilize all of the various, valuable land that we have surrounding the infrastructure at Hardisty. The second question was, do we – can we do that without taking any penalties on long-lead time items etcetera? And the answer is yes, I mean, this is something we have been working on pretty much from the inception of the current phase of the expansion process. And so this is following in accordance with our plans that we had set some time ago. The third question around the underpinning is that, the majority of it is underpinned with respect to the long-term contractual obligations that we’ve taken back from our customers. The two 400,000 barrel tanks are contracted that way. The third tank, the operational tank is really something that we do need from an operational perspective. As you know, 80% is required these large tanks out of service and clean them. That is a process that takes several months. And since the having an operational tank we would then have to, we would be in a position where we would suspend service to a customer obviously about the end of the charge for the service that we’re providing. Having this operational tank allows us now to toggle customers in and out of this operational tank and then retain the continuous service for them. So although not specifically underpinned but we do expect that this tank would be continually in utilization profitably.
Rob Hope – Macquarie: All right, thank you.
Operator: Thank you. Our next question is from David Noseworthy with CIBC. Please go ahead.
David Noseworthy – CIBC: Hi, thank you and good morning. Let me add my congratulations to a good quarter despite all the market challenges. It just in terms of your comment regarding specifically incremental marketing volumes without taking on commodity exposure or employing capital, I was just wondering if you could provide a little more color on how you do that?
Stew Hanlon: Well, I think the comment was that we continue to expand our capability in terms of taking on additional volumes without taking on increased marketing or increase to commodity price exposure. As you know, in the marketing business we make money one of two ways, we gather barrels at the wellhead offering an aggregation service for our producer customers. And we also gather barrels from inside the streams that don’t have a normal form because of the specific quality of that stream. And then we match the quality of those streams and provide those rails that perform. And so, we’re able to do that on the aggregation side by paying a discount to a posting based on the negative nature of the market price. And then moving those rails into a posted market price and weakening index, so we’re buying on an average and selling on an average and so real commodity price exposure in that situation. And when we’re doing our quality management business, we’re similarly buying and if there is counter posting, and we’re able to sell into the posting market, again, within an index that without taking on commodity prices closure because the buy and the sell are based on monthly averages. We do and we are deploying capital in order to grow our marketing business. We’re in the middle of the expansion phase, at our Edmonton terminal where we’re adding typically to the tankage of both inter-marketing business and dedicated to our marketing business. And so, we will be deploying capital throughout the back half of 2014 and most of 2015 as we expand the physical capability to gather and to get those barrels and also to manage the quality of those barrels. So, in short, we’ll increase the volumes and we’ll increase our capital deployment of our business but we won’t be increasing our exposure to the commodity prices.
David Noseworthy – CIBC: Okay. And maybe just two follow-up questions then. Will you be able to use your operational tank in Hardisty for marketing during the times that are not being used for maintenance on other tanks?
Stew Hanlon: Yes. Certainly that’s one of the capabilities that we do just there. And to the extent that we don’t need that operational tank, primarily in the weaker months, when we won’t be doing tank maintenance then we have the capability of doing that tank referred to our working business for sure.
David Noseworthy – CIBC: And would you expect a spot demand look for the operational demand. Would that lead to higher returns, should there be sufficient spot cash to utilize it fully than what you might get off a typical contract?
Stew Hanlon: Specifically when you’re dealing with the long-term contract you will, who are more ready to I guess take a lower return because of the fixed nature of that contract. I mean, whether or not we are able to, on a spot basis do better than that and at long term and we typically markets will give you that opportunity but we’ll have to see what’s the specific market looks like on that day.
David Noseworthy – CIBC: And just under Edmonton tankage expansion, is that predominately for condensate or are there other products you’re looking at there?
Stew Hanlon: No, that’s the tank that we had previously announced. We were building under long-term project with (inaudible) dedicated rail loading rack for that customer.
David Noseworthy – CIBC: Okay. And then, just one on M&A. Can you describe with Polaris expansion, first part is done now there is a couple more expansion between now and 2017. How do you see the demand for condensate terminalling evolving in Edmonton over the coming say 12 to 18 months?
Stew Hanlon: We assume we do continue to see it evolve. As we’ve talked about publicly, when you think in terms of 1 million barrels a day of incremental oil sands production for the next five to six years, that’s going to drive the need and necessity for essentially a doubling of the available condensate supply within Western Canada. Certainly, as Polaris has situated their initiative station at the north end of our Edmonton terminal. And with the capability to be brought around aggregation and marketing for condensate volume throughout North America, we believe we’re going to be well positioned to take advantage of that. And we continue to see an evolving demand for those services.
David Noseworthy – CIBC: And any idea in terms of the next 18 months, is that something that just happened sooner than later or is it more in latter half of late 2015?
Stew Hanlon: Yes, we continue to discuss with various customers what their needs would be, and we’ll be in a position to update the market at the appropriate time.
David Noseworthy – CIBC: Thanks a lot. Those were my questions.
Stew Hanlon: Thank you.
Operator: Thank you. Our next question is from Dirk Lever with AltaCorp Capital. Please go ahead.
Dirk Lever – AltaCorp Capital: Thank you very much. And again, way to go on the quarter. I’ve got a couple of questions. On the second unit train at the Hardisty, is it fair to say that we could probably wait a little bit longer to get a decision on that given where commodity prices are and underlying rail cost?
Stew Hanlon: That’s probably a fair comment Derrick. We are in negotiation phase with folks to take back contractual comments in the financial project. I think commodity prices concerns and concerns with respect to just that level of rail service in and out of that facility, make those discussions obviously, it’s a three-party consideration that we’re dealing with. I think we as well as the shipper customers want to be careful that when we do planning decisions move forward that all the pieces certainly in place. And so, we see good demand. We know that the demand is there, we just need to mention that all the pieces of the puzzle sort of line up.
Dirk Lever – AltaCorp Capital: And would Stew, one of the pieces of the puzzle be where the, who ends on the connections terminal?
Stew Hanlon: We largely see the Canexus Terminal that has been an asset that serves a different marketplace.
Dirk Lever – AltaCorp Capital: Okay.
Stew Hanlon: We’ll be dealing with shippers that have their barrels really at the main hub within operators which is hard to see. So, I said Bruderheim continues to move towards having an increase, typically we don’t see that as being – we don’t see that is having an impact on our business targets.
Dirk Lever – AltaCorp Capital: Okay, excellent. And then, when you’re looking at your land position both Hardisty and in Edmonton, and you look forward in your opportunities, do you see any constraints in any one of them and if so what you’re going to do about it?
Stew Hanlon: With respect to land position at Hardisty it’s quite robust. And we certainly don’t see any near or medium term constraints in terms of our ability to continue to build out in response to customer demand. We are somewhat more constrained at Edmonton, having said that with we got about 45 acres of developable land on the western side of 17th Avenue there. So, we’re as well situated as anybody in the City of Edmonton, or I guess in the City of Edmonton within refinery rule there. We have positioned ourselves we seem quite naturally with respect to strategic land positions up in the Fort Saskatchewan area that we continue to see that important hub developing in the future we believe we’re well positioned to take advantage of that as well. So, I mean, there will always be constraints on land, particularly land that’s adjacent to existing infrastructure. We’re probably as well situated as anybody in terms of moving forward.
Dirk Lever – AltaCorp Capital: Okay. And then, the last question I’ve got is do you guys see your trucking division as kind of a leading indicator, usually economically people look at trucking as in transportation as a leading indicator for economics. And have you found that to be the case for your business, when you see trucking going down, okay, it’s like, it’s going to ripple through. And if it does where would it ripple through to next?
Stew Hanlon: A very good question. Typically over our history, the answer is yes. We see trucking as being a pretty accurately the indicator. I wouldn’t read too much into a third quarter performance, the softness there which is related to two sort of specific locations and situations, one in the United States around the opening of the Nansen pipeline, for instance we’re in a position of repositioning some assets to take advantage of referrals we have seen in that marketplace. In a market, our business in Canada was impacted by severely wet weather in the northeast of the province. And some specific situations around the oil sands where we saw a reduction in sulphur hauling volumes and between concurrent volumes. As I’ve mentioned in the script, I mean, we’re certainly not expecting a replication of that in the fourth quarter. But to the extent we do see continued lower commodity prices and a reduction in activity levels we would feel that first in our truck transportation business, we certainly saw that in 2008 and 2009, not material to the businesses of all. So, we’re not expecting that that would manifest itself again this year. The second point of your question was what would be the next sort of place that we would see it? And really it depends I guess on what the other aspects of the marketplace are, to the extent that we continue to see low commodity prices, typically that comprises of differentials which would have a leading impact with respect to our marketing business and profitability therein. And this is the third call I would like I said in response to the earlier question, if we do see that manifest itself in a severe reduction in drilling and completion activities we would see probably some modest softening in our environmental services business.
Dirk Lever – AltaCorp Capital: Right, okay. That’s all I’ve got. So, thanks very much. Keep on, keeping on. Thank you.
Stew Hanlon: Thanks.
Operator: Thank you. Our next question is from Steven Paget with FirstEnergy Capital. Please go ahead.
Steven Paget – FirstEnergy Capital: Good morning and thank you. Stew, the Hardisty, with the addition of the two tanks this month and please correct me if I’m wrong. I think you’ve more than doubled your tank storage there since the IPO. While western Canadian oil production is up by 40% over the same time, what’s the underlying reason for, that Gibson is getting storage at a faster rate than the production run rate?
Stew Hanlon: Well, I think Steven it goes to the very strategic positioning at Hardisty. If you can sort of visualize what the Hardisty complex looks like in your mind’s eye, we’re essentially at tender rates we thought to the Enbridge System to the south and rest of us to the TransCanada tankage to the North and east of us we’ve got the Express Pipeline System to the South and east of us. And we kind of, we think probably the most robust connective with respect to volumes coming into the process, as well as just coming out of the complex. That’s certainly being the exclusive provider of barrels to inter-train facility, being able to bring the barrels on a truck, etcetera, etcetera. Our shipper customers coupled with the most optionality coming to the goods in tank, first to say any more and competitors in that situation. And so, we think we offer a very, very compelling value consideration. And that’s, when I think about the value of Hardisty, when I think about our success in terms of winning at least our fair share of the business there, that certainly is the main leader.
Steven Paget – FirstEnergy Capital: Thank you, Stew. On propane and NGLs, should we be looking at a run rate of CAD11 million to CAD12 million in EBITDA from Cal-Gas given the pro forma and actual trailing 12-month EBITDA that you gave us?
Stew Hanlon: We typically don’t get that granular as you know with respect to the 4% of independent global business segments, with the exception of marketing which we’ve tended to try and guide people to. And so, you understand that business is well with anybody I’ll leave it to you to do the math in terms of your protection.
Steven Paget – FirstEnergy Capital: Thank you, Stew. Gibson has connections and a good land position in Edmonton, but no underground storage, and you mentioned today land at Fort Saskatchewan, could these pieces come together to provide Gibson with some underground liquid storage capacity?
Stew Hanlon: Certainly potentially. If we look at several years into the future as you know, is the land positions that we have at Fort all these months, several quarters in the Fort are positioning ourselves for the medium and near-term future. So anything is possible. We do see the timing around this in terms of draft storage and gives us the appropriate opportunity presented to us, we would invest in that.
Steven Paget – FirstEnergy Capital: Okay. Thank you. And my final question, if I could, we’ve got Northwest upgrading coming in and it’s going to be a major producer of diesel. Will diesel sales change the market that Gibson serves? Is it an opportunity, is it a possible change to how, your business in this regard?
Stew Hanlon: We are involved there, we’re heavily in the diesel business from a transportation perspective around our terminal at Edmonton in particular. So to the extent that there are additional molecules that need to do multi-projects markets that the business we’re in. With respect to diesel itself, the most diesel like products that we’re involved in, involved with on a sales basis is our distillate 22, which is our invert dealing with diesel. That’s really a specialty product that is designed and suited for certainly drilling industry. So, we wouldn’t expect that additional oil supply with what we can would have any kind of an impact on that front.
Steven Paget – FirstEnergy Capital: Thank you. Those are my questions.
Stew Hanlon: Thanks Steve.
Operator: Thank you. (Operator Instructions). Our next question is from Michelle Zuliani with RBC Capital Markets. Please go ahead.
Michelle Zuliani – RBC Capital Markets: Hi. If I could just jump back to the rail operations, it looks like you have quite strong returns for that investment? And I was just wondering if this is the type of return you will look to seek for future rail investments, or if this is more of a one-off in your mind, just because if you look at your ability to get longer term contracts than most rail facilities?
Stew Hanlon: Yes, the rail facilities that we have invested in Hardisty, is certainly levering off of the existing infrastructure that we have at Hardisty. And so I think that what makes that a particularly attractive return investment for us. An expansion of that tank facility at Hardisty would be similarly advantaged, let’s put it that way. To the extent that we were building a Greenfield to surface that required a more heavy investment in related infrastructure, i.e. tankage pumping etcetera, etcetera. You would see us then probably securing return expectation commensurate with the life of the contrast we were able to take back in our expectation for a long-term risk with rate of return.
Michelle Zuliani – RBC Capital Markets: Thanks. And just on your acquisition strategy, historically it’s been smaller tuck-in type of deals in the tens of millions from a transaction side perspective? I’m just wondering, how is the M&A environment looking for these smaller deals, and is there any particular focus from a business line perspective, whether that’s driven by what opportunities are out there, or targets that you see as being more strategic to your footprint?
Stew Hanlon: Yes, very, very good question. You’re exactly right. Typically our acquisition strategy has been as a roll-up for our consolidation player within the trucking and co-paying businesses. And the marketplace for those types of businesses has been more of a receptive in 2014 than it was in 2015 where we did no transaction. We have a number of things on our radar screen almost all the time. And we think that we sort of meet that intersection of strategic comparative needs appropriate value, we would transact. And I think you can expect us to be able to do so in the coming quarters. And we would like to do so in 2015. To the extent that we do see a softer market in 2015 and obviously that makes the M&A environment a little bit more attractive, particularly for a company like ourselves, where it’s particularly well-funded and has a very, very strong balance sheet. So, if that was the situation then we would look to take advantage as well. And typically again, we have grown historically our trucking business, our propane business in that regard. One of the investment rationales we have before we run into the environmental services business with that business, but people out in the U.S. that would let itself to consolidation M&A activities more simply regarding to see those types of opportunities itself.
Michelle Zuliani – RBC Capital Markets: Okay. Thank you. Those are my questions.
Stew Hanlon: Thank you.
Operator: Thank you. Our next question is from Carl Kirst with BMO Capital Markets. Please go ahead.
Leah Jordan – BMO Capital Markets: Hi, this is Leah on for Carl. My first question is on the reconfiguration at Hardisty, what are the incremental costs associated with that project?
Stew Hanlon: Leah, we typically built it that granular with respect to the specific (inaudible) assets that we’re building our capital – our growth capital expenditure expectation for 2014 continues to be previously CAD375 million or there above. We have indicated to marketplace that we expect at least CAD375 in 2015. As we see work through our planning and budgeting process which is ongoing as we speak, that’s recently for 2015 is starting to look somewhat conservative. And so, certainly the tank configuration is one aspect of that but there is also, there is also just the tremendous suite of opportunity in front of us that we look to take advantage of. So, that’s we will give it more wholesome capital update when we release our budget of our capital budget on 10 December, lines of capital interest. So, and then of course as Don said in his remarks, our Investor Day will provide additional color with respect to some of the individual components.
Leah Jordan – BMO Capital Markets: Got it. Thank you. I just am following up on the 2015 CapEx. Back three months ago when you announced a CAD375 million, 55% of that was secured or approved at the time. Has that percentage increased at all over the past three months?
Don Fowlis: We continue to see ongoing discussions with respect to moving that number up. And so, what I can say today is that if we said CAD375 million three months and I’m now saying that that number is conservative, any kind of large scale increase over that CAD375 million would be projects of that nature.
Leah Jordan – BMO Capital Markets: Okay. But of the kind of Board approved projects are still just the 55% of CAD375 million?
Don Fowlis: That’s what we’re saying today, sure.
Leah Jordan – BMO Capital Markets: Okay, great. Thanks. Thank you. That’s all.
Stew Hanlon: Thank you.
Operator: Thank you. We have a follow-up question from David Noseworthy with CIBC. Please go ahead.
David Noseworthy – CIBC: Hi, just a quick cleanup question. In terms of your upgraded replacement capital for 2014, is there any change to that number?
Stew Hanlon: The upgrading replacement capital for 2014, we would probably see ourselves coming up a little bit short with respect to our CAD70 million expenditure estimate. And but I think in terms of the upgrading replacement capital as being CAD70 million per annum on over several year average.
David Noseworthy – CIBC: Okay. Perfect. Thank you.
Operator: Thank you. We have a follow-up question from Steven Paget with FirstEnergy Capital. Please go ahead.
Steven Paget – FirstEnergy Capital: Stew, if I may, what’s the rough capacity at your injection stations?
Stew Hanlon: The injection stations in the United States or rail to the North America?
Steven Paget – FirstEnergy Capital: Well, I mean, whichever one relates to what you publish in the operating data for the throughput. Is that the U.S.?
Stew Hanlon: That’s the U.S. And that’s a very, very difficult question to answer. And that’s a small volume capability at 85 different small price line connected truck in the pipeline of facilities throughout the Continent of United States. We’d have to do some serious additions to some at the top. That’s not a number of that, off the top of my head.
Steven Paget – FirstEnergy Capital: So, okay. And maybe a general question then on, it looks like the volumes have generally gone up over time. Is there an opportunity for expansion in this sector?
Don Fowlis: Yes, I don’t think that the volume entered growth, I don’t think our ability to grow volumes throughout the injunction stations at the United States is going to be constrained by physical capacity, it’s going to be constrained more by production levels and our ability to transfer barrels to our specific locations. That’s not to say that cost, that’s not to say that we don’t have stations that are over there we do. But for our business, it’s certainly an additional capacity throughout our international station network in the United States. And expansion to capacity, this is relatively straight forward there. And so, potentially the addition of another small terminal with some small scale pumping and so, expansion of capacity and once you’ve done pipeline connections is relatively simple over there.
Steven Paget – FirstEnergy Capital: Okay. Thank you. And on marketing, how much of your run rate EBITDA, maybe that’s EBITDA we’re seeing right now, is based on producers that really can’t substitute for Gibson service themselves? I’m thinking of the aggregators, as you aggregate production from wellheads that’s a service that most of those producers aren’t going to be able to replace or do themselves, and so are we seeing kind of a run rate CAD50 million in EBITDA a year on services that are not easy to replicate, and have very little to do with commodity differentials?
Don Fowlis: That’s again a difficult question to answer. We do illustrate on 50,000 barrels a day by itself so 175 on the buyer side, 175 on the sell side. Of that 175, let’s call it maybe 60,000 barrels a day would be gathered at the wellhead in the balance of the screen barrels that where we are offering quality management services. And you can make the argument that both of those types of businesses are necessary service because on the aggregation side, we’re typically doing with the smaller producers, they don’t have the capability of building up 10,000 cubic feet of that getting into the Enbridge System. On the quality management side, we’re dealing with barrels that don’t lead a specific quality and so they can become a component with industry, our market stream at WCS and MS that sort of thing. And so, the first part of your question was the dangerous one because we don’t ever think of being in a position where we own a business. We have to provide those services on a competitive basis on a day-by-day basis. And so, differentials incremented into play because it is competitive business. There are other companies that offer education sort of systems, there are other companies that can offer quality management services as well. So, when we think in terms of what’s the run rate for the business, I always just talk about the global. I say in the last week, it’s a prolonged like 12-month period where we saw a very, very low commodity prices and compressed differentials. And that business might reverse back to CAD40 million per annum EBITDA business if you look at really good marketplace like we saw in 2013, obviously that’s made about CAD82 million. We said our normal market will give us about CAD60 million EBITDA every province and that is certainly a number that we have been pointing people towards execution to our clientele.
Steven Paget – FirstEnergy Capital: Okay. Thank you, Stew. And I would understand that stream barrel or quality management that provides business for the terminals and tanks as well?
Stew Hanlon: That’s correct. Yes, everything, every barrel in the buy goes either on to the Gibson truck and then to a Gibson terminal or it goes directly to the Gibson terminal, that’s really the value of the marketing business. I think I touched on that in my script in terms of the volume of production that we can move through our ones deal on a daily basis, because we do have that marketing capability. And that’s essential for us because there is always going to be a value differential between the value per barrel at the point of productions and the value per barrel at the end market. And that differential will never be less than the cost of transportation. So we’re going to determine that and capture the production irrespective of how wide or narrow that is.
Steven Paget – FirstEnergy Capital: Thank you, Stew. And how many – how much of the revenue from trucking would from trucking volumes that really don’t touch Gibson in any other way that is trucking that doesn’t see a Gibson terminal either at the beginning or end or it is almost all the trucking linked to other Gibson assets?
Stew Hanlon: We’re having an internal debate using hand signals and smokescreens here in the office while I try and come up with an answer to that question. Off the top of my head, I’d say, we’ve doubled about 65% of our trucking business is working and 35% of our business is internal.
Steven Paget – FirstEnergy Capital: Thank you, Stew.
Operator: Thank you. (Operator Instructions). There are no further questions registered at this time. I would now like to turn the call back over to Tammy Price.
Tammy Price: Thanks again for your interest in Gibson Energy. As mentioned earlier, Cam and I are available after the call if there are more questions. Have a good day, everyone.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.